Operator: Good day, everyone. Welcome to the earnings call for Western Alliance Bancorporation for the Second Quarter 2020. Our speakers today are Ken Vecchione, President and Chief Executive Officer; and Dale Gibbons, Chief Financial Officer. You may also view the presentation today via webcast through the Company’s website at www.westernalliancebancorporation.com. The call will be recorded and made available for replay after 2:00 p.m. Eastern, July 17, 2020, through August 17, 2020, at 9 a.m. Eastern by dialing 1-877-344-7529 using the passcode 10146019. The discussion during this call may contain forward-looking statements that relate to expectations, beliefs, projections, future plans and strategies, anticipated events or trends and similar expressions concerning matters that are not historical facts. The forward-looking statements contained herein reflect our current views about future events and financial performance and are subject to risks, uncertainties, assumptions and changes in circumstances that may cause our actual results to differ significantly from historical results and those expressed in any forward-looking statements. Factors that could cause actual results to differ materially from historical or expected results are included in this presentation, the related earnings release and our filings with the Securities and Exchange Commission. Except as required by law, the Company does not undertake any obligation to update any forward-looking statements. Now for the opening remarks, I would like to now turn the call over to Ken Vecchione. Please go ahead.
Ken Vecchione: Good afternoon, and welcome to Western Alliance’s second quarter earnings call. Joining me on the call today are Dale Gibbons and Tim Bruckner, our Chief Financial Officer and Chief Credit Officer. I will first provide an overview of our quarterly results and how we are managing the business in this current economic environment. And then, Dale will walk you through the Bank’s financial performance. Afterwards, we will open the line to take your questions. I’d like to focus on three trends that were present this quarter and will continue throughout the year: PPNR strength; credit provisioning expense; and balance sheet growth. Combined, these trends will support earnings and capital growth and dividend distribution throughout 2020 and 2021. Starting with our second quarter results. Western Alliance generated net income of $93.3 million and EPS of $0.93, which was up 12% over the previous quarter. Tangible book value per share of $27.84 was an increase of 4.2% over the previous quarter and 12.9% year-over-year. Driving these results was record operating pre-provision net revenue of $194.7 million, up 27.7% year-over-year and 19.1% quarter-over-quarter, with operating PPNR ROA growth of 18 basis points to 2.56%, which benefited from recognition of $13.9 million of payment protection program net fees. These results demonstrate that the long-term earnings power of Western Alliance core business remains strong under the current economic and market volatility and will support significant ongoing capital accumulation, provide financial flexibility to fund balance sheet growth and accommodate changes to the allowance for credit losses for revisions to the economic outlook. In the quarter, we recorded provision for credit losses of $92 million versus $51.2 million in Q1, which was primarily attributable to changes in macroeconomic forecast assumptions and net charge-offs of $5.5 million. Dale will go into more detail in a bit on the specific drivers of our provisions. But, our total loan ACL to funded loan ratio now stands at 1.39% or $347 million. Continuing our strong balance sheet momentum from 2019, loans increased $1.9 billion this quarter to $25 billion and deposits grew $2.7 billion to $27.5 million. Without the inclusion of PPP, loans grew a more modest $117 million and deposits demonstrated strong growth of approximately $1.6 billion. The lower adjusted loan growth reflects muted demand for which we held back on marketing activities and directed our focus to low-loss, high-quality loan segments in addition to assisting our clients with their PPP applications. We are encouraged by our pipeline and opportunity to continue to grow in low-risk asset classes. Throughout the crisis, we have continued to attract new, high-quality relationships to our Bank at pricing and terms that would not have been available to us in other circumstances. Furthermore, this quarter is positive operating leverage supported our expanding PPNR as our strong efficiency ratio improved sharply to 36.3% compared to prior year. Becoming more efficient during this economic uncertainty provides the incremental flexibility to maintain PPNR. Looking ahead, we will continue to invest in new product offerings and infrastructure to maintain operational efficiency, but Q2 levels are temporary and will eventually rise back to a sustainable level in the low-40s. However, our branch-light business model and our National Business Lines strategy continue to give us a competitive advantage. Finally, supported by our healthy PPNR generation, Western Alliance remains well-capitalized with the CET1 ratio of 10.2%, which puts us in position of strength, uniquely prepared to address what’s ahead in this uncertain environment. Now, let’s take a moment to provide an update on Western Alliance’s response to the COVID pandemic. First and foremost, I want to acknowledge the health and safety of our people and clients of our utmost concern. We continue to follow CDC protocol and state by state return to work guidance as our organization returns to the office. Our business continuity plans have been working as anticipated. And I want to thank all of our people who continue to go above the call of duty to get the job done and serve our clients in this unique environment. As I initially described on our Q1 earnings call, WAL’s unique credit risk management strategy is focused on establishing individual borrower level strategies and direct customer dialogue to develop long-term financial plans. Our approach to payment deferral requests is to look for resourceful ways to partner with our clients along with assessing their willingness and capacity to support their business interests. We asked our clients to work hand in hand with us, whereby all clients contribute liquidity, capital or equity as an integral component to modify payment plans. Our approach collectively uses the resources of the bar, governments and Bank’s balance sheet to develop solutions that extend beyond the six-month window provided for the CARES Act. Since April 1, WAL has funded $1.9 billion PPP loans, which provided an expedient liquidity to over 4,700 clients and benefitted more than 150,000 employees. At quarter end, $2.9 billion or 11.5% of loans have been modified with the bulk of these loans receiving principal and interest deferrals. Excluding the Hotel Franchise Finance segment, which we executed a unique sector deferral strategy, the Bank-wide deferral rate is approximately 5%. The vast majority of our borrowers elect to utilize their own resources or PPP funds to purchase their business through the COVID prices. I will provide an update on the portfolios most impacted by COVID later on, but I do want to highlight in our Hotel Franchise Finance portfolio, our sophisticated hotel sponsors continue to see value in and support their properties with 92% of deferrals achieved by posting additional liquidity as component of future payments deferrals. Our differentiated deferral strategy provides our customers the runway to resolve their liquidity issues and allow the appropriate time to recover. Unlike the cookie cutter big bank approach, we established the expectation that the burden of responsibility of solving the long-term cash flow problems remains with our client base. In our gaming book, all borrowers continue to make interest payments as 90-day principal only deferrals were approved for 37% of the portfolio. Today, 95% of our clients are open for business and are experiencing a strong rebound of demand. These facts and the daily conversations with our people and clients help me feel confident that our credit mitigation strategy and early approach to proactively managing our risk segments is bearing fruit and push Western Alliance in a strong position to come out on the other side of the pandemic in better shape than our peers. Dale will now take you through our financial performance.
Dale Gibbons: Thanks, Ken. Over the last three months, Western Alliance generated net income of $93.3 million or $0.93 per share. As mentioned, net income was impacted by elevated provision expense for credit losses, driven by the adoption of CECL in Q1, and changes in the economic outlook during the quarter. Net interest income increased $29.4 million, primarily as a result of loan growth and lower rates and liabilities as interest expense was cut in half. Operating non-interest income fell $5.2 million to $11.1 million from the prior quarter as lower levels of financial activity generated lower -- fewer fees. We also benefited from several non-operating items during the period, including a recovery of approximately 40% or $4.4 million of the mark-to-market loss on preferred stock holdings we recognized in Q1. Additionally, bank owned life insurance was restructured, resulting in an increase of $5.6 million as we surrendered and reinvested lower-yielding policies. In addition to this gain, this should moderately increase BOLI revenue prospectively. Finally, non-interest expense declined $5.7 million, primarily from an increase in deferred compensation expense of $3.3 million related to PPP loan originations, plus a 52% decrease in deposit costs and a 64% decline in business development and travel expenses. Strong ongoing balance sheet momentum, coupled with diligent expense management drove operating pre-provision net revenue of $194.7 million, which was up 27.7% year-over-year. We believe it’s the most relevant metric to evaluate the ongoing earnings power of the bank. Our strong PPNR covered an 80% increase in provision costs from Q1 to $92 million, while driving EPS, up 12% to $0.93 on a linked quarter basis. Turning now to our interest drivers. Investment yields increased 4 basis points from the prior quarter to 3.02%. However, the overall quarterly portfolio yield decreased by 32 basis points from the prior year, due to the lower rate environment. Loan yields decrease 45 basis points, following declines across most loan types, mainly driven by the 83 basis-point reduction in one-month LIBOR during the quarter. Yield reductions were partly offset by an average yield on our PPP loans of 5.02%. Prospectively, we expect loans yields to trend toward the end of quarter spot rate shown of4.66% Interest-bearing deposit costs fell by 50 basis points in Q2 to 40 basis points as this quarter received a full benefit of our proactive steps taken to reduce deposit rates immediately after the FOMC cut rates twice in March. The spot rate of total deposits at quarter end was 20 basis points. Total funding costs declined by 34 basis points when all of the Company’s funding sources are considered, including non-interest-bearing deposits and borrowings. The spot rate on total funding costs of 31 basis points is higher than the quarterly average, due to the issuance of subordinated debt mid-quarter at 5.25%. We expect funding costs to have stabilized at these levels as no further debt actions are anticipated. Demonstrating the flexibility of our business model, despite a transition to a substantially lower rate environment during the quarter, net interest income rose 10.9% or $29 million during Q1 to $298.4 million, up 17% year-over-year. Our origination of PPP loans, coupled with strong balance sheet growth and immediate steps taken to reduce the cost of interest bearing deposits counteracted the decline in prime and LIBOR. PPP lending supported our net interest margin during Q2 as SBA fees were recognized, resulting in a loan yield of 5.02% in this sector. We estimate most of PPP loans will be forgiven within eight months from origination. Of the $43 million in PPP loan fees we received from the SBA net of origination costs, one-third or $13.9 million was recognized in the second quarter. Net interest margin contracted 3 basis points to 4.19% during the quarter, as our earning asset yield fell 34 basis points, but was offset by an equal improvement in funding costs. Our outsize deposit growth and mounting cash reserves will continue to place downward pressure on the NIM until excess liquidity can be deployed, which we expect will take two to three quarters. With regards -- with our asset sensitivity, our rate risk profile has declined and notably over the last year, and we are now asymmetrically positioned to benefit from any future rate increases as 78% of our loan portfolio is behaving as a fixed rate since floors on variable loans have largely been triggered. Our estimated net change of net interest income in 100 basis-point parallel shock higher is 4.2% over the next year, and we now project zero net interest income at risk if rates move lower. Turning now to operating efficiency. On our linked-quarter basis, our efficiency ratio improved 550 basis points to 36.3%, which continues to demonstrate our industry-leading operating leverage. As mentioned earlier, the noninterest expense improvement is related to an increase in deferred compensation expense of $3.3 million on related PPP loan originations, plus a 52% reduction in deposit costs and a 64% decrease in development and travel costs. Normalizing for PPP net loan fees and interest, the efficiency ratio for Q2 would have been 38.4%. Additionally, our branch-light model has given us flexibility to identify two locations that we are transitioning from full service offices to loan production facilities. Our core underlying earning power remains strong as pre-provision net revenue ROA increased 18 basis points from the prior quarter to 2.56% and return on assets was flat at 1.22%. While we expect the 2.56% is a high watermark as elevated liquidity will hold down the margin, we believe we will continue to maintain industry-leading performance. This provides a significant flexibility to fund ongoing balance sheet growth capital management actions or any credit demand. Our balance sheet momentum continued during the quarter as loans increased $1.9 billion to $25 billion and this up deposit growth of $2.7 billion brought our deposit balances to $27.5 billion at quarter-end. The loan to deposit ratio fell to 90.9% from 93.3% in Q1 as our strong liquidity position continues to provide us with balance sheet capacity to meet all funding needs. Our cash position increased to $1.5 billion as deposit growth continues to outpace credit expansion. While this impairs the margin near-term, we believe that provides us this with inventory for good credit growth as demand resumes. Of note, during the quarter, we issued $225 million of bank level subordinated debt to ensure ample capacity to support our growth trajectory by bolstering our total capital ratio. Finally, tangible book value per share increased to $1.11 over the prior quarter to $27.84, an increase of $3.19 or 13% over the prior year. The vast majority of the $1.9 billion in loan growth was driven by increases in C&I loans of $1.6 billion, residential loans of $154 million and construction loans of $138 million. Residential and consumer loans now comprise 9.8% of our loan portfolio, while our construction loan concentration continues to trend downward and is now at 8.8% of total loans. Excluding PPP loans, loan growth was $117 million, which was affected by line pay downs from draws during Q1 and offset by growth in residential and construction. Highlighting our continued focus on growth in low risk assets, Tech & Innovation loans were flat in total, while within the category, capital call and subscription lines grew $35 million. Mortgage warehouse loans grew $325 million and residential mortgages grew $165 million. Corporate finance loans decreased $233 million, compared to the increase we saw in Q1 as borrowers repaid their line draws, reducing utilization rates down from 38% to 17%. And our loan growth was fully funded by deposit growth. We continue to believe our ability to profitably grow deposits is both the key differentiator and the core value driver to our firm’s long-term value creation. Notably, year to-date deposit growth of $6.1 billion is higher than the annual deposit growth of the Company in any previous calendar year. Deposits grew $2.7 billion or 10.9% in the second quarter, driven by increases in non-interest-bearing DDAs of $2.3 billion, which now comprise over 44% of our deposit base. PPP loan-related deposits grew $1.1 billion, and savings and money market accounts were up $845 million. HOAs contributed to total deposit growth by adding $136 million, and Tech & Innovation increased $262 million as capital raising activity during the quarter was active. Excluding PPP-related deposits, growth would have been $1.6 billion or 6.5%. Regarding asset quality, special mention loans increased $292 million and non-performing loans rose $53 million during the quarter. One half of the increase in SM loans are from the hotel portfolio. Generally consistent with our previously discussed Tech & Innovation rating guidelines, these loans were downgraded as we do not have clear line of sight to more than six months of remaining operating liquidity. These borrowers are current, however, as they made loan prepayments that we required for us to consent to a deferral modification. Our other borrowers in the segment are also paying as agreed or provided cash payments that when coupled with the payment deferral have no additional debt service requirement until sometime in 2021. Second, we have aggregated an event planning and leisure sub-segment in which the business models are essentially dependent on social distancing relief and in some cases, the resumption of group events. Of the $150 million total exposure to this sector, $60 million has been moved to special mention and $40 million to non-performing. While the portion move to SM has over a year of current liquidity, it was downgraded as the revenue models have been sharply impaired. The loan move to nonperforming has now had limited remaining liquidity. The remainder of the migration to special mention is currently granular from our client spread throughout our metropolitan markets where liquidity has been tightened. These loans are generally collateralized by an array of assets that include real property. Frequently, a loan may be downgraded to FM because of liquidity concerns, even though collateral coverage may be considerable. For this reason, migration to special mention has a low correlation to ultimate credit losses as over the past five years less than 1% has moved through to charge-offs. Our allowance for credit losses rose $86 million during the quarter as a change in mix of the balance sheet released $4.2 million of reserves and changes to the outlook accounted for $96.2 million, including covering $5.5 million of net charge-offs. Revision to the CECL macroeconomic outlook assumptions, which have declined since March 31st but have generally stabilized since April accounted for the entire net reserve build. Our Company’s allowance related to loan losses was $347 million, excluding held-to-maturity securities or 1.39 % of funded loans, an increase of 25 basis points. The current reserve build reflects our best estimate of the future economic environment as of quarter-end, including the impact of government stimulus programs and credit migration actions. We have migrated to a consensus economic outlook, a blue chip economic forecast as it tracks largely management’s view of the recession and recovery. Net credit losses of $5.5 million were recognized during the quarter, which were mainly attributable to small business and C&I borrowers. In all, total loan ACL to funded loans increased 25 basis points to 1.39% in Q2 as provision expense for loan losses of $87.3 million significantly outpaced net loan charge-offs. Relative to most other banking companies, our lower consumer exposure continues to result in lower total loan losses. I’ll now turn the call back to Ken.
Ken Vecchione: Thanks Dale. I would now like to briefly update you on the current status of a few exposures to the industries generally considered to be the most impacted by the COVID-19 pandemic. During the last two weeks of the quarter, Tim Bruckner, the credit administration team and I conducted the most extensive quarterly portfolio review process in the Bank’s history. The review covered 95% of WAL’s outstanding loan balances, excluding purchase residential mortgages. Our $2 billion Hotel Franchise Finance business focused on select service hotels represents approximately 8.2% of the loan portfolio. The financial flexibility of these borrowers is maximized by working with financially strong institutional operating offers, the deep industry experience expertise and conservative underwriting structures focused on loan to cost. Occupancy rates are tracking national averages currently around 46%, which have tripled compared to the lows in April of around 15% and are now only a few percentage points short of fully covering estimated operating expenses. At approximately 55% occupancy, select service hotels are also estimated to cover amortizing debt service. As a testament to the operating models of the select service hotels, revenue per available room has fallen 55%, but they have been able to shrink their cost structure by over 40%. And as a result, the typical hotel is operating at breakeven. Nearly 85% of our hotel portfolio is either paying as originally agreed or on a proactive payment deferral plans that bridge into 2021. We feel positive about the trajectory of the portfolio and that our proactive deferral strategy will produce relatively stronger credit performance given the active support of our sponsors have demonstrated through the material upfront payments made to receive deferral plans. To augment the strategy, we nearly doubled the reserve of the portfolio this quarter and increased the ACL to loans ratio by 93 basis points to 1.95%. The investor dependent portion of our Technology & Innovation segment is primarily focused on lending to established growth companies with successful products and strong investor support, which provides greater operating and financial flexibility in this environment. Overall, significant sponsor support and an active fundraising environment continued for these growth firms. 81% of loans have greater than six months remaining -- months liquidity, up from 77% in Q1. Additionally, we had over 50 clients successfully raise over $1.4 billion in new capital since March 1st. Our $509 million gaming book is focused on off-strip middle market gaming-linked companies whose revenue is driven by local demand factors. 37% of the portfolio is on 90-day principal-only payment deferral as they continue to cover interest payments. Additionally, these clients benefited from $28.4 million of PPP loans. Inclusive of our recent closure mandates in Nevada to limit certain business activities, businesses representing 95% of the portfolio are open for operations. Upon reopening all casinos, bars are performing at or above their COVID operating plan and no loans were downgraded to criticized or classified at quarter end. Lastly, our commercial real estate portfolio continues to perform as 99% of our industrial leases are current. 90% of our office rents are paid on par with the national average. The subsegment of CRE is showing signs of stress for the industry’s retail. WAL CRE retail exposure of $676 million is focused on local, personnel service-based retail strip centers with limited merchandise retail exposure. Similar to HFF, we are utilizing deferrals to support a path to recovery for these borrowers, while requiring demonstrated sponsor support with high level of additional payment reserves. Of note, 67% of WAL’s investors CRE retail tenants paid May’s rent payments compared to 50% nationally. We continue to generate significant capital and maintain strong regulatory capital ratios with tangible common equity to total assets of 8.9% and a common Tier 1 ratio of 10.2%, an increase of 20 basis points during the quarter. Excluding PPP loans TCE to intangible assets is flat from Q1 at 9.4%. Inclusive of our quarterly cash dividend payment of 25% per share, our tangible book value per share rose $1.11 in the quarter to $27.84, an increase of 12.9% in the past year. We continue to grow our tangible book value per share at a rate significantly better than our peers, as it has increased 3 times that of our peers over the last five and a half years. In conclusion, we expect loan growth to be fairly flat in Q3 as PPP payoff and forgivenesses are largely offset by the organic growth in low-risk asset classes. Depending on the timing of the realized PPP forgiveness, organic loan growth should offset PPP runoff resulting in net long growth being relatively stable. We anticipate another strong quarter of deposit growth in Q3, primarily by executing on our deposit initiatives and achieving our market share gains in mortgage warehouse. The anticipated deposit growth and resulting liquidity will primarily be deployed to residential mortgage assets to improve returns on cash over the next several quarters. However, as PPP loans roll off and liquidity continues to rise, pressure on NIM will also continue to be fully deployed into productive assets. While we are pleased with our deposit growth, the pace is exceeding loan growth, and as Dale mentioned, it will take several quarters to redeploy this liquidity into low risk loans or assets providing yields greater than the Fed’s current offering. Operating PPNR is expected to decline modestly as PPP income begins to abate, loan balances growth begins to reignite, and the deployment of excess liquidity continues, and deferral loan origination costs return to normal levels. Our long-term asset quality and loan loss reserves are informed by the economic consensus forecast, which if consistent going forward, should preclude material increases and reserve levels from this point. The pace, timing and size of future net charges-offs are uncertain to us as we have not seen a material increase in delinquencies or substandard migration. Finally, our strong capital base and access to ample liquidity will allow us to both, take advantage of any market dislocations to grow in low-risk areas and to address any credit demands in the future. At this time, Dale, Tim and I are happy to take your questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions] First question today comes from Casey Haire of Jefferies.
Casey Haire: So, first question on the hotel book. The deferral strategy, you guys there, it looks it’s more than six months. Can you just give us some color on what the average term is? And how far in advance have you guys deferred these? And then, what is -- the occupancy sounds like it is near sort of breakeven levels? What is in your reserve build forecast going forward? Do you have it reaching that 55% level? Just some color there, given that this obviously is of concern?
Ken Vecchione: Yes. I think the hotel franchise finance book of business is the most misunderstood, and our approach is not fully understood as well. So, let me take a half -- a step backwards and give you a larger picture as to what we’re doing and why we’re doing it and then get directly to your questions there, Casey. One, first misconception is deferrals are a good thing. Okay? Payment deferrals require cash collateral or paid out of debt upfront. They prove or provide liquidity to the project. They show from the borrower’s point of view, project commitment, which is very important, or they flush out any early problems we need to deal with. So, when we say we have a six plus six program, what that means is our borrower gave us six months of payments upfront that we deposited into a bank account, which we pull out on a monthly basis as debt service coverage ratio -- debt service coverage is due -- principal and interest, I should say, is due. And they don’t get to their six-month deferral process until six months from today. So, that’s what six plus six means. All right? And what we’re trying to do here as we look for people who provide the liquidity and commit to the projects, again, it helps us understand if they do not want to do those things, then we need to take fast action to preserve the 40% of equity that’s sitting in front of our debt. That is the philosophy around our approach. A specific answer to your question today, about 51% of our portfolio is in the six plus six referral bucket, 19% is in the 3 plus 3 bucket, about 9% is in the -- is paying as agreed, and another 3% is in the 3 plus 6 buckets. And then, we’ve got a whole bunch of other plans 5 plus 5, 2 plus 2, all those types of plans depending on the particular borrow. And that amounts to about 10%. So all-in, about 92% of our hotel book is paying as agreed or is on a deferral program. Now, we still have about 6% that we’re in the process of documenting, and we expect that to fall into any one of the buckets I just described. But all in, overall, 99% of our hotel book is paying as agreed, even if they’re on a deferral because we are attaching those funds that are sitting in a bank account where they provided the liquidity upfront. The other specific question you asked is -- let me just give you some of the numbers here. For us, the current occupancy is about 43%-44%, that is three times higher than the lows in March. The ADR is $44. That too is 3 times higher than March. We did say, at 45%, based on our book of business here that the Company is break even on an operating basis. And at 55%, the Company does begin or the book of business does begin to cash flow on a 1-to1 ratio, inclusive of amortization. Okay? I think that addressed all of your questions.
Tim Bruckner: I would add a couple of things, Tim Bruckner. First, I’d say, this was not the easiest thing to execute. I don’t want to downplay that. This took a concerted effort of our people. And initial discussions with borrowers were difficult, because we’re solving for a period significantly longer than most viewed COVID in the first 90 days of the crisis. And so, we went out from the start and said, let’s solve for periods sufficient to return to stabilization. And that’s what we did. And we solved that not just with our money and our deferral, but with contributions from our very-significant sponsorship in the space. We did it because it was the right thing to do. Our borrowers did it because they could do it. And I think, that’s a very important point on this. And we have so many now that come back and say, I’m so glad that we took this approach.
Ken Vecchione: So 50% of our portfolio, slightly more, we’ll have to deal with these issues again in middle of 2022, all right, another 20% -- 2021 sorry. Another 20% or so, we’ll deal with towards the end of the year. Okay? So, we’ve given enough of a runway here. And this was the most important thing that we could do to help our clients is to give them a long runway to come back to us at the operating levels that they previously experienced. Additionally, as Tim said, they resisted. But once they talked to us, once they saw what was happening, they saw some of the wisdom in the approach that we deployed. Casey, did I answer your questions there?
Casey Haire: Yes, yes, yes. No, that was pretty comprehensive. I’ll have to go back and read it myself, but that was very good. Dale, a question for you on the NIM. Slide 6, by my math on the spot rates, it looks it really gets about -- it exited the quarter at 3.90. Does that sound about right? Number one. And then, number two, what is that loan yield spot rate of 4.66%? What does that presume for, for the PPP loans? At 5.02 in the quarter in 2Q, that’s a lot higher than what we’ve seen from peers. So, just some color there?
Dale Gibbons: Yes. So, that assumes 5.02% for the quarter as well. So, what we did in terms of recognizing PPP revenue is, we’ve estimated doing the effective interest method in GAAP, how long are these loans going to last. And from information what we have and what our borrowers are thinking and how they’re behaving, we think that the average life of these is going to be about 8 months. And so, we’re taking this PPP average loan fee, which is about 2.7% and we’re recognizing two-thirds of that really over this 8 months and then there’s a tail for the part that might not pay off. So, you should expect us to show something of a level low yield on the PPP that I think some others are doing maybe a little different approach. I would hope that our number would be on the higher side of where you are in the higher 3s for the quarter. But frankly, it kind of remains to be seen a bit. I mean, we’ve had this massive increase in core deposit. We think that we’re on track for another strong quarter of core deposit growth in the third quarter, while the low balances won’t be moving as much, because we’re dealing with the pay-downs on PPP as we originate credit in other high-quality categories. So, that’s going to help us in terms of inventory build, but it doesn’t help us in terms of the NIM, but we think that’s going to be really important in 2021.
Casey Haire: Great. Thank you. I’ll step back.
Operator: The next question comes from Brad Milsaps of Piper Sandler. Please go ahead.
Brad Milsaps: Hey. Good morning, guys.
Ken Vecchione: Good morning.
Brad Milsaps: Dale, I just wanted to make sure I understand the PPP fees on a go-forward basis. $1.9 billion of loans should imply $57 million in gross fees. I think you mentioned that. Net of origination costs, you had about 43 left, you recognized about 14 this quarter. Can you help me understand for the geography of where some of those fees will show up in terms of NII versus the reduction in operating expenses going forward? I mean, I think you’d get to the same place overall, but maybe starting from a little lower point than I thought.
Dale Gibbons: Yes. I think that’s probably the biggest delta. So, we did $1 billion -- just under $1.9 billion, $1.860 billion in loans. We had some people surrender at a couple of early pays. And so, that number is down to about $1.7 billion today. We’ve received fees of $49 million from the SBA, not 57. And then, we netted certain costs against that. And that’s how we get to the $43 million. Going forward, I’m not looking for any cost relief obviously, because origination process has ended. But, I’m not looking for it. But so, the $3.3 million that we’ve highlighted in the release, yes, I think that’s going to come back up in compensation expense. So, that is going to rise again. And then, the remaining -- so that gets to a net $43 million, which we took a third of that in the second quarter; we’re probably going to take another third of that in the third quarter; and then, we’re going to have a tail into the fourth and maybe dribble down a little bit into the first of next year in terms of the kind of recognition. So, I think the two things, one is maybe that dollar amount was a little bit higher because some of these were very short term or refunded; and then, two, the average loan fee was shy of 3%, it was about 2.7.
Brad Milsaps: So, bottom line you’ve still got $29 million to recognize, most of that’s going to come through net interesting income?
Dale Gibbons: Yes. That will come through net interest income.
Brad Milsaps: Got it. Understood. And then, just to -- the follow-up on the margin. You noted in the deck, you’ve got 78% of the loan book essentially acting as a fixed rate. Thus far, I mean, I know it’s early, but how challenging has it been to defend some of those floors? Obviously, there’s probably not a lot of loans moving from bank to bank right now. So, just kind of curious, kind of your thoughts on being able to defend those loan floors as we kind of move through the year?
Dale Gibbons: Actually, it has been less challenging than it has been in other downward environments. And I will tell you that today -- and this is unusual. I mean, two or three years ago, when we put on a loan with the floor, we’ve had -- the loan docs are in there. And it forces to disclose and discuss with the borrower. But, it triggers 25 basis points to 50 basis points below the variable rate. And so, it’s like, it’s a little bit of an afterthought. It’s probably not going to hit me. Most people thing loans are -- rates are going to plummet as they did. Today that’s not the case. Today how we reduce written is it’s usually as a LIBOR floor assumption of 1%. Well, LIBOR is under 20 basis points today. So, they go in knowing, okay, this loan is priced at L plus 325, and L is never considered to be below one. So, out of the gate, the floor is what’s active and it’s going to be active for until LIBOR gets above 1, and then we can go to variable rate structure.
Ken Vecchione: Surprisingly, we’re not losing business because of the floors.
Brad Milsaps: Got it. And then final question, just looking for some of the segment data. I did notice, there was -- it looked like a negative provision in the other NBL category, in the quarter that reserve actually went down. Any color there to kind of relative kind of what you did with the rest of the portfolio?
Dale Gibbons: Yes. It’s not so much a portfolio thing. It’s that -- when we updated for the CECL outlook and the migration from Mark Zandi’s analysis to a consensus forecast, it resulted in different allocations for certain sectors. And C&I loans in particular kind of came down in part in that regard.
Brad Milsaps: Okay, great. Thank you.
Operator: The next question today comes from Timur Braziler of Wells Fargo. Please go ahead.
Timur Braziler: Hi. Good morning, guys. Maybe we can start on the credit migration into special mention this quarter. It certainly didn’t seem like that was the primary reason for the second quarter provision, I guess, looking ahead, how should we think about future credit migration relative to the current allowance? If there’s future migration in the special mention, is that already pretty much included in the existing expectations? And I guess, more specifically, if there’s migration out of special mentioned and into classified, would that drive incremental necessity to build allowance from here?
Dale Gibbons: Yes. So, as I kind of alluded to, the loss rates from SM loans does not have a high correlation in terms of migration. And that’s reflected in our formulas. We don’t see that in the math and in the emergence of lots. And so, migration to SM is usually driven by a liquidity question. So, even if we had a loan that was at a 20% loan to value, but there’s a liquidity tightening going on at that borrower, that’s going to go to SM, even though the risk of loss most people would say would be essentially zero. So, in terms of what could migrate to SM, I think we kind of highlighted that we thought we’d see some SM migration in the hotel book, because they’re under liquidity stress, as those -- as occupancy rates really dropped in that quarter. Now, if you go from there to classified or to non-performing, it has become a different category. And those loss assumptions do generally climb. When we move to a classified asset, we’re going to look at the collateral behind it and we’re going to recognize a reserve, based upon are we underwater or not relative to expectation. So, that could be a different result. But, SM migration really has almost no effect on provisioning.
Timur Braziler: Okay. That’s helpful. Thank you. And then, maybe switching to the technology portfolio, certainly encouraging to see that over 50 clients, over a $1 billion was raised in the quarter. I’m looking specifically at the 14% of tech loans last quarter that had under six months of liquidity. Were those included in $1.4 billion of capital raising activity? And I guess, those companies that are coming up to that kind of deadline, are they having as easy success raising incremental rounds, and what’s happening to the valuations, if they are?
Ken Vecchione: Yes. So, some of that money was raised for those customers that were in SM last quarter that were able to raise liquidity and then move out. That’s a constant number that kind of moves in and moves out. Relatively speaking, the Tech & Innovation book stayed relatively flat in terms of the SM movement. So, that was very encouraging to me, because it means that the investors are continuing to be confident in the projects or investments they’ve made, and are continuing to put capital into their companies. So, I hope that answers.
Tim Bruckner: I would add just -- Tim Bruckner Quarter-over-quarter, we actually saw improvements in businesses with RML, less than 6 months, if you look quarter one to quarter two. And so, what we’re seeing is a high level of activity. In some cases, the rounds are smaller. But, we’re seeing sustained sponsor support and really strong activity in the sector. So, quarter-over-quarter, RML less than 6 improved Q1 to Q2.
Ken Vecchione: Yes. I’ll give you two pieces of interesting facts about our book, which -- for the Tech & Innovation. The median equity invested in our portfolios is six times our loan commitment today. And it is 10.6 times the current outstanding loan balance. So, it gives you a sense of how much equity is going into the companies and also, on the fact that even though we give a commitment -- about half of that commitment is not drawing down on at all, because they have so much equity. And that leads us to why we have 2 to 2.5 times, depending on what time of year you look at, deposit to loans in the Tech & Innovation business.
Timur Braziler: And then, in the gaming book, I guess I’m kind of surprised to see the level of allowance allocated for that portfolio relative to currently adversely graded loans. Is that an indication that things could still get choppy in the future or is that formulaic? Because it didn’t seem like there was much expected loss content from your prepared remarks?
Ken Vecchione: Yes. So first, we have no Las Vegas Strip exposure. Okay? And we mostly have drive to and local markets. And what’s interesting here is, they are outperforming the same period of 2019 in their initial re-openings. So, May 2020 was better than May 2019. We do have one or two properties where they’re just performing at COVID plan. And that is not -- that’s the worst that we can say that we’re pretty happy about that. Some of our gaming establishments are posting win per day at their slot machines that are 3 times the normal average level. So, in this book, we have -- 36% of the book has had an interest only deferral. We have not had any principal deferrals. Part of what you see on our calculation is manually driven by the model. Of course, there are some subjective input put in on top, overlays for what we think is occurring in our book of business. But, our book has fairly strong -- I should say lower leverage than you think. Generally, the leverage in our book is just under 3 times debt to EBITDA. You go back to the last crisis, and anything over -- or under a 4.5 to 5 times debt to EBITDA has 90% survival rate. So, right now, we like our book is doing well. We are encouraged that there is a return here by our gaming clients, customers. And I also think, it shows well for that when the economy opens up again, how quickly people want to come back out and socialize and be in settings with other people.
Dale Gibbons: I think part of what you’re referring to Timur is basically the process of using formulas that were developed during the financial crisis and extrapolating them to today, which has a different circumstance and a different underwriting and different kind of risk profile entirely. With 95% of our properties open and what we’re seeing in the low LTV, we are in this sector. I would put my bet that when we’re done with this pandemic and as we look past, look backward in terms of what happened, the ACL will sector will have been shown to be higher than it needed to be.
Timur Braziler: Go ahead.
Tim Bruckner: I’d just add. the pace of all these things in the currency of these events. We’re seeing in late May and then in June, there’s very robust response to the industry, the high volumes. And though very, very positive, as Dale was saying, the ACL is based on historical. We’re seeing results that are outperforming what we have seen historically. And that’s another way to look at it.
Timur Braziler: And then, just sorry, one more modeling question for Dale, just average PPP loans for the quarter?
Dale Gibbons: I’m sorry what was that? Average PPP?
Timur Braziler: Average PPP balances for the quarter.
Dale Gibbons: $1.8 billion.
Operator: The next question comes from Chris McGratty of KBW.
Chris McGratty: Dale or Ken, I just wanted to go back to loan growth for a second. Completely understand that the near-term low-risk growth strategy and PPP dynamics, perhaps it lasts couple quarters. I’m wondering kind of your thoughts on how we should be thinking about loan growth beyond maybe the next couple of quarters and remind us kind of the targets that you’re setting forth for growth?
Ken Vecchione: Yes. So, I think as I said in my prepared remarks, it’ll be somewhat stable to where we are now when you consider the runoff of the PPP as Dale talked about being replaced by our traditional organic loan growth. As we emerge out of Q4, we haven’t done our full planning yet, but I would think that it’s going to be no less than what we normally do, which is $600 million to $800 million per quarter. Right now, I am encouraged that our pipeline is beginning to build. And I arrived at that conclusion by looking at the number of loans that come into our senior loan committee. Those are the largest loans in the bank. They’re coming in with -- from what I’ll call brand name companies that you would know very well at better terms, okay, and at better pricing. And so, we are encouraged by that right now that -- we have to wait for those loans to be approved and we have to of course wait for them to be drawn down. But as we emerge out of Q4, I would think we’re back to our normal run rate of $600 million to $800 million a quarter. And we’ll update you as we get closer into Q4 as we normally do for the next year out.
Dale Gibbons: I think, this is going to firstly depend upon what happens to the situation. I mean, I’ve been encouraged by what seems to be a number of firms worldwide that claim to have an efficacious vaccine. And if that’s the case and if that is a rollout around the end of this year, maybe into Q1, I think that puts confidence in a different level. And I think, we have the background and we’re ready with the infrastructure and we’ve got the deposit capacity that we’ll be able to take advantage of an increase in demand as confidence resumes.
Chris McGratty: That’s great. Dale, in terms of deposits, so it sounds like loan growth treading water until the end of the year and then resumption. The comments about deposit growth just coming in, if I take out the PPP of $1.1 billion, you still grew $1.5 billion or so in the quarter. Could you just help us with the magnitude of what you’re likely to see in Q3 and Q4, just how big of the balance sheet is going to be I guess I’m trying to get my arms around?
Dale Gibbons: Well, it’s not going to replicate what we did in the first half of the year, but we’re getting traction in our specialty business lines, we’re getting traction in mortgage warehouse, we’re getting traction in homeowner associations and we’re getting traction in tech plays. And all of those have demonstrated historical momentum. And the Q is good for what we’re seeing coming in.
Chris McGratty: Great. And then, if I could sneak last one. I just want to make sure I got the expense outlook right. So, the deposit costs came down to 3.5. Is that the right run rate that we should be using from here?
Dale Gibbons: I think that’s fair.
Chris McGratty: Okay. And then, the moving pieces with the PPP’s comp, how do we think about just overall expenses? You were kind of flat quarter-on-quarter, but I know you’re making some investments, but any kind of direction on expenses?
Dale Gibbons: Yes. I mean, we’re at 115 that included a credit for PPP originations. Of course, we’re not doing any more PPP originations. And as you mentioned, we’re going to be fairly flattish with paydowns from that program and expectation of offsets of development elsewhere. So, I don’t think we are going to be below 40% on efficiency for a long. I’m not sure we’re going to go right back to 42. I think that that may be a little bit. But, I don’t think we have many quarters that begin with the 3. As we see that come back, I mean, some of the expenses we saved, travel expenses, business development, that’s really kind of the circumstance that we’re in today. We do think that travel helps. We think it helps close deals. And so, we’re going to get back into that, when that’s feasible from a social distancing and state regulation scenario allows. So yes, we’re going to be back. And so, I wouldn’t look at the 115. I would look more at the 120 where we were before in terms of something closer to a run rate.
Chris McGratty: That’s perfect. Thanks, Dale.
Operator: The next question comes from Michael Young of SunTrust. Please go ahead.
Michael Young: Hey. Thanks for the question. I wanted to follow up first on the reserve. I think that’s gotten a lot of attention. I’ve had a lot of questions about it. I’m trying to get to a more comparable figure to maybe other banks, if we kind of back out mortgage warehouse and maybe the large resi mortgage purchase portfolio and PPP loans. And I think you guys might be more on par with other bank. But I didn’t know if there was a way to kind of disaggregate that where we could maybe see it on the more comparable basis.
Ken Vecchione: Yes. This is talking our own book a little bit. But, when you think through our loan loss reserve and compare it to other banks, first, we always recognize that we don’t have a consumer franchise, and that’s where a lot of losses will begin to mount. That’s number one. Number two, I break our book into loan categories where we’ve had no losses, resort finance for $900 million, capital call lines $500 million, HOA services $300 million, warehouse lending $2.9 billion, that’s $4.5 billion that we’ve never had a loss in. Then, we’ve got another $4 billion where we’ve had limited loss in residential loans, consumer muni loans and nonprofits. That too adds up to about $4 billion. So, as you think about our funnel of $25 billion, you can take roughly $8 billion almost off the top for either no or low losses. Now, of course, you’re not going to do that, but I think you could add a small percentage of basis points to cover your losses against that $8 billion and then recalculate a reserve ratio, and I think you’ll find it will rise considerably above the 1.24%. Another thing that I think is helpful for you to think through when you look at our book, and this is how we look at it, our construction land and development which is about $2.2 billion. The book there is looking very strong and it is responding and acting differently than the prior cycle. First, we have about a third of that book sitting in lot banking. Right? And in lot of banking, we have a LTV of about 55% with well capitalized, highly liquid sponsors, i.e. private equity or hedge funds that are our guarantors here. So, that business is performing very well. We have no deferrals there. And in fact, instead of getting deferral request, we’re getting just the opposite. We’re getting incoming calls, people saying, you don’t have to worry about me paying my bill, but you have to be there when I see opportunities. And that’s an easy thing for us to say, if you’re making your payments as agreed to, based on the terms that we usually use, we’ll be there to help you. So, the CLD book is somewhat different too. And then, on top of this, and I know people like to go back and say, well, what happened to Western Alliance in 2008 and 2009 and 2010, and draw from that a some type of regression analysis. But, when you look at the prior cycle, the credit physics, if you will, from the prior cycle to where we are today completely different, almost a full turn around. So in the prior cycle, you had high unemployment, okay? That stays where you are today. But the prior cycle, you had high unemployment, high delinquencies, high charge-offs, low home prices, you had a rising supply of home prices. You had income dropping and you had some demand dropping for these homes as well. In the current cycle, yes, employment is higher than the prior cycle, but you don’t see the rise in delinquencies. You’re not seeing the rise in charge-offs. Home prices are either flat to rising. Supply has not grown. And income with the help of fiscal policies, by the government, income has risen. And demand is higher. So, when we look at the appropriate reserve for construction land and development book, we have to put all these overlays on top of the historic modeling that you would see in order to represent what we see happening in our book of business today. So, you put that together. You also acknowledged that we have no energy loans. We have limited restaurant loans. We have very few solar loans. All that stuff collectively together got us to our reserves calculation.
Michael Young: That makes sense. And just as we move forward, I mean, the main thing that would drive a big delta in the reserve would be losses in some of those historically low loss categories. Is that kind of the right way to think about that, or would it be the more significant downgrades in other categories that have had historical losses in the past?
Ken Vecchione: Well, I mean, effectively, we’re in a scenario that you think you pay as incurred, right? Your ACL cover is what’s still in the book out there. Now, if we had a loss in a category that previously has been zero loss and we expected it to have zero that that would inform the analysis and the expectation of loss and what’s still out there. And, gosh, maybe you got that wrong, maybe there is a defect in what you’re doing there that is embedded in other loans. And so, in that sense, it can drive a higher provision. But for the most part, it’s almost pay as you go and sustain your level of reserve, based upon your outstanding balance and changes in the outlook of the economy.
Michael Young: Okay. And maybe just one last follow-up. I think, you guys have outlined a lot of detail on some of the most in-focus loan segments. But, are there any other sort of tangential categories that we should have on our radar screen? Maybe C&I relationship or something that might be related to one of the underlying categories, just that we should be thinking about or that should be addressed?
Ken Vecchione: Yes. I think that’s a fair question. And inside of our CRE book, we have three components to it. We have industrial, and there 99% of our borrowers customers are paying their rent. We feel comfortable there. We have office, there 90% of our borrowers customers are paying rent. Great. But we have a CRE book for retail, about 700, just a touch over 700 million, there, 66% of our borrowers customers are paying rent compared to a 50% national average. Now, I’m not saying there’s a problem there. But you asked what are we focusing on, what has our elevated attention today? That is an area that has our elevated attention. We don’t have to move quickly on it, we’re watching it. It has -- it’s got a very -- it has a very strong debt service coverage ratio coming into the downturn of 1.8 times. It has a very low LTV of 48%. We don’t have much speculative loans there at all. So, I want to make sure I’m clear. Don’t run away saying there’s a problem. You asked where are we also watching? That is an area that we’re watching.
Michael Young: Okay. Thanks for all the color. I appreciate it.
Operator: The next question comes from David Chiaverini with Wedbush Securities. Please go ahead.
David Chiaverini: Hi, thanks. My first question is on the mechanics of the deferral program. If we use the 6 and 6 program as an example, so the first six months, they’re accruing interest, you pull the P&I from the accounts that they deposited, everything’s normal. But after the first six months, as we get into 2021, what happens to those loans in terms of the treatment of it? Do they go on non-accrual or do they move to special mention or classify them? Just curious as to whether or not they’ll continue to accrue interest in the second half of the deferral period.
Dale Gibbons: So, the loan docs have been modified. And so, the contractual payments now allow for that. There’s no new payment done -- due until, I am going to say, May of ‘21. So you’re right. I mean, we take the six months they paid up front of P&I and then we debit that. And we recognize that liability and we pay the loan down over that six months. Then for the next six months what we do is, payment regarding principal is deferred and interest payments that otherwise would have been due are now passed on to principal that do due usually at the end of the maturity of loan, could be earlier, could be a year out or two years out or something like that when that’s going to become due again. So, we’re going to continue to accrue income and increase effectively the balance on that loan for the next six months. It doesn’t move to any classification, unless we have information that there’s another problem with the situation that has since developed. But, otherwise it would stay like that. And then, after that expires, then they’re back to their standard P&I payment, as originally agreed.
Tim Bruckner: I would add one -- just one thing on the interrelationship of our strategy and risk rating, because I don’t want this point to be messed. We -- one, there is not a direct relationship, is the deferral in effect or not, does not directly affect the risk rating. The weekly dialogue with our borrower and verification of liquidity to work through that plan, that is the important calculus in our risk rating methodology. So, all the time, we’re in constant and ongoing dialogue with the borrower, ensuring that they’re closing the gap and that there’s sufficient liquidity through the cycle. So, if we get to a point where those mechanics change and we feel differently about that, that’s when we would affect the risk rating. I wanted to be clear.
David Chiaverini: And then, shifting gears to the provision. As we think about the third quarter and clearly there’s a lot of uncertainty on the macro outlook. But, if we were to assume the macro outlook is stable, from here, you mentioned about how you’re expecting flat or low loan growth. What would that translate to in terms of provisioning? Are we thinking back towards -- I mean, I don’t want to be too optimistic and think of 2019 levels, but what should we, how should we think about provisioning over the next couple of quarters?
Dale Gibbons: Yes. I wouldn’t go back to 2019 either, but I would think that it would fall off fairly significantly. And that is, as you saw this quarter. I mean, the entire reserve increase in provision resulted from a deterioration in the outlook from March 27th, the last Mark Zandi deal in the first quarter to where we are today. So, if that’s fairly stable, will be maybe as a bit of a pay as you go in terms of losses. So, if we incurred losses, we’re going to recognize that. If we have migration downward -- not into FM, but into substandard, into non-performing, that to trigger additional provisioning requirements and charge-offs. But other than that, if charges don’t really materialize, I think that number could drop rather dramatically actually over time.
Operator: Next question will come from Brock Vandervliet of UBS. Please go ahead.
Brock Vandervliet: Dale, how did you kind of thread the needle with the -- especially in the hotel book, the restructuring that you’re -- the deferral that you’ve structured, especially the longest term ones out to mid-21? How is that not a TDR?
Dale Gibbons: Well, so, the kind of the special dispensation that came out from the FRB extended that window a little bit. So, prior to that rule change, banks could essentially do a 90-day deferral on anything without having a fall into a restructuring. So, there’s some temporary hardship. You can dole out go out over the life of a loan one 90-day push out. And that’s been the case -- gosh, since I’ve been doing this for decades. What they allow is that you could instead for this -- for credits that have been impaired by the pandemic, you could double that and you can take at six months. And so that’s all we’ve done is we said okay, well, that’s -- we can do six months, so we will allow the longest you can go and not have to fall into a restructuring situation. And then -- but then you’re paying again. And so, the amount of time that they go on a deferral is within that window and within the guideline that was allowed. Because even though it’s a year, they’ve prepaid six months of it.
Ken Vecchione: There’s a difference between a solution to how we bridge the gap over the next year with them versus the deferral time. So, the solution is for a year. The deferral is six months of that year and the other six months they give us the cash up front.
Brock Vandervliet: And any more color on that negative provision? You touched on it in one of the earlier questions and one of the national businesses. And I think that there’s a 2 million one in the HOA business, it seems just unusual timing…
Ken Vecchione: Yes. So, again, I mean, we go through this process and then, when we have all these multiple regressions and then you come back and you look at it say, okay, is this helpful? Are we learning something about this or is something kind of overstated? Well, the HOA loan portfolio is quite small. And so, it had been in a kind of a separate category caught up in C&I loans. Well, when you look at the HOA loans on a standalone basis, the idea that they’re going to have loss behavior, anything like a C&I loan or that kind of risk profile is really overstated. I don’t know, I’m sure there’s somebody somewhere. I don’t know anyone that’s ever lost $1 in an HOA loan. Because when you make an HOA loan, if the HOA becomes delinquent, you get to jump in front of the first position lender on whichever house it is and then HOA that’s delinquent. So, as if I don’t pay my HOA fees and that causes my HOA association to not pay, they can come after me and they get a lean in front of my first mortgage. So, your LTV on that loan is less than 1%. I mean, that’s just ridiculous. That’s just going to sit there forever. So, you get your money eventually. And so a loss rate really on HOA loans should be darn near zero. The reason why it wasn’t originally is because it was embedded in a larger group of C&I loans because it was so small, highlighted that change and addressed it with segment in that particular target.
Operator: The next question comes from Gary Tenner of D.A. Davidson. Please go ahead.
Gary Tenner: I just wanted to ask a question on the hotel deferral strategy. Ken, I think you mentioned that you had some sponsors, basically coming to you and saying, I’m glad we did it this way, the six plus six. That said, I’m sure they all would have happily taken a six-month deferral without paying six months of accelerated cash. So, how can you be confident that kind of post COVID there’s not any negative fallout in terms of business or relationship versus some of the sponsors with the Bank?
Ken Vecchione: Okay. I think that’s a fair question. 66% of our book is with large sponsors, and those are sponsors with 25 or more hotels. And they generally deal with about -- 88% of their book is all connected to the top brands, the Marriott, the Hiltons the Hyatts. Right? And what they have seen from us is our deep knowledge of the industry. And people like working with other folks that have an understanding or the knowledge of the industry. I’m going to move to a different group for a second to highlight this as well. We are gaining a lot of share in warehouse funding. One of the most, if I had to pinpoint the most familiar reason, why we’re getting new customers is because our new customers are telling us that some of their incumbent banks don’t understand the space the way we do. And they don’t want to be dependent upon a lender that doesn’t understand the space and may do something irrational. Right? So, back to the hotel, we didn’t do anything that was irrational. We actually started with the relationship very early by saying, you always need to have a lot of equity in this relationship. That’s the first thing. We then worked through the models. Of course, we make sure there’s the right debt service coverage ratio, make sure they have the right NOI margins, make sure they’ve got a model that works in downtimes. And you’re seeing that now. You’re seeing the model work in down times as our customers are able to lower their ADR and take market share from the lower brands, alright, and move that market share to their hotels, because people will like to go to a nicer hotel for a lower price. Now, all those things connected together indicate that our customers like working with us and they know that we understand that market. And I think what you’re going to see here, and this will play out over time. So, you can ask me this question 6 months or 9 months from now, assuming that the economy is returning to normal. I think you’re going to see a lot of our smaller competitors that just do one or two hotels here and there smaller banks, I think they’re going to lose business to us. Because over the long-term, I think our clients want to deal with someone that know how to grow. And by the way, we’re still in business. We’re not shutting down lending. Okay? We’re not doing any right now because there are no deals. But, we have told our clients, if you’ve got a good deal, if you have an opportunity, we’re there to finance you, if you are working with us and showing commitment to your existing projects.
Dale Gibbons: I call this tough love because I don’t think they didn’t like it to begin with, but I think we’ve kind of earned some respect with some of them. And the large majority of our borrowers have resources that are here for the long haul.
Ken Vecchione: I think of it this way. There comes a certain point where your kids think you’re smart, then all of a sudden your kids think you’re really dumb, and then they return to say, boy, how did my dad and mom get so smart again? Well, I think this is what you’re going to see with our clients. They’re going to say, gee, we didn’t agree with this approach at first, but you know what? These guys have a smart approach to this, and it was a differentiated approach. And what was interesting that people don’t understand is, it put our clients in front of us to talk to us, right, before the other banks even had a conversation. So a lot of these banks did a 90-day open-ended deferral cookie cutter. You’ve got it. I’ll see you in 90 days. We came in with a solution. We said, wait a minute, you have a bigger -- problem we have a bigger problem. The industry has a bigger problem. The economy has a bigger problem. This is our viewpoint. This is why we see -- this is how we see it playing out. And good or bad, at least they can respond to your viewpoint and your vision of tomorrow and how you want to solve for it.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Ken Vecchione for any closing remarks.
Ken Vecchione: Thank you all for your time today. We appreciate it. We went a little bit longer, but we were happy to do so to make sure that all of your questions were answered thoroughly. So, we’ll be in touch. We look forward to seeing you again in person one day. Thank you all.
Operator: The conference is now concluded. Thank you for attending today’s presentation. You may now disconnect.